Operator: Good day and thank you for standing by. Welcome to the Vishay Intertechnology’s Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. after the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your host today, Peter Henrici, Head of Investor Relations. Please go ahead.
Peter Henrici: Thank you, Liz. Good morning. And welcome to Vishay Intertechnology’s fourth quarter and fiscal year 2023 earnings conference call. I am joined today by Joel Smejkal, our President and Chief Executive Officer; and by Lori Lipcaman, our Chief Financial Officer. This morning, we reported results for our fourth quarter. A copy of our earnings release is available in the Investor Relations section of our website at ir.vishay.com. This call is being broadcast live over the web and can be accessed through our website. In addition, today’s call is being recorded and will be available via replay on our website. During the call, we will be referring to a slide presentation, which we also posted at ir.vishay.com. You should be aware that in today’s conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today’s press release and Vishay’s Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. We are including information in our press release and on this conference call on various GAAP and non-GAAP measures. We have included a full GAAP to non-GAAP reconciliation in our press release, as well as in the presentation posted on ir.vishay.com, which we believe you will find useful when comparing our GAAP and non-GAAP results. We use non-GAAP measures because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures. Now I turn the call over to President and Chief Executive Officer, Joel Smejkal.
Joel Smejkal: Thank you, Peter. Good morning, everyone. Thank you for joining the fourth quarter 2023 earnings conference call. I will start my remarks on slide three with a review of the demand trends for the fourth quarter by end market, channel and region. Then Lori will take you through the highlights of our financial results and guidance for the first quarter of 2024. After that, I will wrap up with a review of our key initiatives and then we will be happy to answer any questions. Before reviewing our fourth quarter performance, I want to take a moment to look back at what I shared with you a year ago on my first call as Vishay’s CEO. It’s been a remarkable year of change in Vishay as we began to implement our strategy to become a more business minded supplier. A top priority was to increase capacity for our highest growth and highest margin product lines to be ready to capitalize on the megatrends of e-mobility, sustainability and connectivity. I said that we were going to use the foundation of our operational disciplines to become a customer and market focused company. From a cash flow managed business to a P&L driven company, from a company that fulfills customer orders to one that anticipates customer needs. Today, the culture of putting the customer first has taken hold. Think customer first is strongly embraced across the organization. Decisions are being made with the customers and market dynamics in mind and we are engaging the OEMs, distributors and EMS partners on a regular basis because we have successfully invested in incremental capacity to help them scale. This puts Vishay in a unique position to drive growth. It is this customer focused and business minded approach that is creating a new Vishay. None of this can happen unless the employees of Vishay embrace the change. I want to take a moment to express my deepest appreciation to all of the Vishay employees for their enthusiasm about the future and their energy and commitment to creating the new Vishay. Let’s now move forward to the performance of the recent quarter. For the fourth quarter, we are reporting revenue of US$785.2 million, within our guidance range of $770 million to $810 million. As expected, softer demand in industrial end markets due to the consumption of higher levels of finished goods inventory by many customers resulted in a revenue decrease from the third quarter. Aerospace/Defense and Medical Markets continue as bright spots for Vishay. Let’s start on the left side of slide three with the revenue by market segment. Automotive held steady at 37% of total revenue. After three quarters of sequential growth in 2023, automotive revenue declined 7.5% versus the third quarter. Compared to prior year’s fourth quarter, automotive revenue increased 9% and grew as a percent of the total. For the year, automotive revenue grew 12.7%. Throughout 2023, we saw increasing demand for electronic content of internal combustion engines, hybrids, e-vehicles and greater vehicle production as supply chain stabilized. Toward the end of the year, some automotive customers and Tier 1s made adjustments to digest inventory. As automotive OEMs reevaluate the pace of EV adoption, we see an uptick in volume for hybrid vehicle production. Design activity in automotive remains strong in each region, focused on ADAS plus e-mobility, including battery management systems, traction inverters and onboard chargers. At the same time, automotive OEMs are engaging with us for design and technology capability discussions to develop long-term EV projects. As you know, the fourth quarter is when we finalize the annual contracts with large industrial OEMs and automotive Tier 1. Overall, the price reduction for 2024 was low single-digit percent after negotiating higher volume share in most cases. We plan to offset this with cost reductions and margin improvements. The industrial segment accounted for 34% of total revenue, declined 11.1% versus third quarter and 18.9% versus the fourth quarter last year. Industrial revenue for 2023 was 11.7% lower than 2022. Demand remained weak in Asia influenced by the ongoing economic slowdown in China. Europe and the Americas were also sluggish as customers continue to digest high inventory levels. There were pockets of growth notably in support of infrastructure projects and we did complete the shipment of our largest capacitors to support an electrical grid project late last quarter. For industrial design activity, we made progress on programs around renewable energy generation, smart grid infrastructure, EV charging infrastructure and energy storage. Industrial automation continues to be a major focus for customers in all regions. As an example, in the Americas, where near-shoring factories is a common topic, customers want to leverage factory automation. In Aerospace and Defense, our revenue increased 8.5% versus the third quarter and 31% versus last year. For the year, revenue grew 26.5% versus 2022. We saw continued strong demand from commercial aviation customers and military weapon system contractors with high orders in the fourth quarter due to the two wars. For the year, Aerospace and Defense revenue increased 26.5% over last year. Revenue from Medical customers grew 4.3% compared to the third quarter and 3.6% compared to last year. Medical revenue grew 14% for 2023 versus 2022. Demand remains strong for medical diagnostic equipment and implantable devices, and shipments to a major customer resumed after a delay last quarter. Medical design activity continues to be strong as customers create technology for remote monitoring of patients. Also there is some news that the China Government is planning to launch an upgrade of medical equipment in their hospitals in 2024. Revenue from other end markets declined both sequentially and year-over-year by 13.7% and 30%, respectively. Demand in these consumer, computer and telecom markets has been weak all year and revenue for the year fell 20% versus 2022. Turning to our business channels. Revenue from each channel declined relative to the third quarter with distribution accounting for a little more than half of the decrease. OEM revenue was 6.9% lower than the third quarter, but 4.1% higher than the prior year’s fourth quarter. Soft demand from industrial customers and year-end inventory adjustments by some automotive customers accounted for this reduction. However, for the year, OEM increased 12.1% versus 2022. EMS revenue declined 13.7% quarter-over-quarter and 24.2% year-over-year, reflecting another quarter of inventory adjustments in all regions, particularly in Europe, among non-global EMS companies and softening demand for industrial programs in Asia. EMS revenue for 2023 was 8.9% lower than last year. Distribution revenue for the fourth quarter fell 8.2% sequentially and was 14.4% below prior year as a result of inventory adjustments in all regions. For the year, distribution revenue declined 11% from 2022. Distribution inventory at quarter end increased to 26 weeks versus 24 weeks last quarter with increases in all regions. POS decreased 6.5%, with most of the decline coming from Europe, where customers were still reducing their forecast or cleaning up inventory positions. The dollar value of the distributor inventory was flat quarter-over-quarter. We continue to better position Vishay on the distributor shelves by adding 7,200 part numbers during the quarter. These steps will help to increase our participation in this high margin channel. Our customers are telling us that they expect the inventory correction to last through the first half of 2024. Some end markets may improve sooner, notably Aerospace and Defense in the Americas, where we see distributors wanting to increase their position on the Vishay passives as well, distributors would like to increase their position on the automotive grade semiconductors. Based on order flow in the fourth quarter, we expect passives to recover faster than semiconductors. Now I will turn the call over to Lori for the review of our financial results.
Lori Lipcaman: Thank you, Joel. Good morning, everyone. I will start my review of our third quarter results on slide four. Revenues for the fourth quarter were $785.2 million. Compared to the third quarter, revenues decreased 8.0%, reflecting a 7.2% decrease in volume and a 0.7% reduction in pricing. Most of the price and volume reduction was in our semiconductor business segments. Pricing for our OEM, automotive and industrial customers under contract held steady during the quarter, while soft demand in industrial end markets put pressure on pricing and distribution channels and EMS primarily in Europe. By reportable business segment, the decrease in revenues was mainly attributable to MOSFETs, reflecting inventory digestion among customers in our other end markets, followed by diodes and Opto. Revenues of the three passive components segments, resistors, inductors and capacitors were generally stable. Compared to the fourth quarter last year, revenues were down 8.2%, reflecting a volume decrease of 9.7% and a 0.2% reduction in pricing. At quarter end, book-to-bill for consolidated Vishay was $0.75 and backlog at quarter end was 5.3 months, compared to 5.5 months at the end of the prior quarter. We returned in the fourth quarter a total of $34.8 million to stockholders comprised of dividends of $13.8 million and stock repurchases of $21.0 million. The next slide presents income statement highlights. Gross profit was $200.7 million for a margin of 25.6%, compared to 27.8% for the third quarter and in line with our guidance. Compared to the third quarter, gross margin decreased primarily due to lower volume. SG&A expenses were $122.8 million, compared to $122.5 million for the third quarter, slightly lower than our guidance due to foreign currency effects. Operating income decreased $37.3 million versus the third quarter on lower gross profit. Operating income decreased $57.5 million versus the prior year due to lower volume related gross profit and higher SG&A expenses, primarily reflecting annual salary increases, general inflation and equity incentive compensation. Operating margin was 9.9%, compared to 13.5% for the third quarter and 15.8% for the fourth quarter of 2022. EBITDA was $127.6 million for an adjusted EBITDA margin of 16.3%. Our normalized effective tax rates were 35.6% and 29.3% for the quarter and for the year-to-date periods, respectively, up versus our guidance due to negative exchange rate impacts on our deferred tax liabilities in Europe. Our GAAP effective tax rates were 35.6% and 30.4% for the quarter and year-to-date periods, respectively, reflecting the non-deductibility of most of the loss on early extinguishment of debt, which occurred in 3Q. For 2024, we expect a normalized effective tax rate of approximately 31.0%. GAAP EPS was $0.37 per share. There were no non-GAAP adjustments for 4Q. This compares to GAAP EPS of $0.47 per share and adjusted EPS of $0.60 per share for the third quarter. For your convenience on slide six, we have included in the body of the presentation, a chart depicting revenue, gross margin and book-to-bill ratios for each of our reportable business segments. Turning to slide seven, we present cash conversion cycle metrics. DSOs were 50 days, two days higher than the third quarter and DPOs were two days lower at 31 days. Inventory was $647.5 million at year-end, up slightly compared to $643.5 million as of the end of 3Q. Inventory days outstanding were 101 days, compared to 96 days for the third quarter, bringing the cash conversion cycle for the fourth quarter to 120 days. On slide eight, you can see that the cash flow from operations of $6.3 million for the fourth quarter was lower than the third quarter and lower than the fourth quarter last year. During the quarter, we paid $63.6 million of cash taxes on repatriation of cash to the U.S. The cash taxes paid upon repatriation represented foreign withholding and income taxes as such intercompany dividends are not subject to U.S. federal taxes. These foreign taxes had been previously accrued when we changed our assertion on indefinite reinvestment of earnings in Germany and Israel in prior years. As a result of the repatriation transactions, net $305.5 million was received in the U.S. We plan to use approximately $170 million of this cash to complete the Newport acquisition. We also plan to fund future amounts pursuant to our stockholder return policy. Total CapEx was $145.3 million for the quarter, with $77.5 million of the total invested in capacity expansion. On a full year basis, total CapEx was 9.7% of revenue, compared to 9.3% for the same period last year. The CapEx and cash taxes data on repatriation during the quarter resulted in a net use of free cash of $138.9 million in the fourth quarter. For the full year, cash flows from operations were $365 million and CapEx of $329 million. Stockholder returns for the fourth quarter amounted to $34.8 million, consisting of $13.8 million for our quarterly dividend and $21.0 million for share repurchases. We repurchased 0.9 million shares at an average price of $23.32 per share during the quarter. Total stockholder returns amounted to $134.3 million for the year, well above our commitment to return at least $100 million or 70% of annual free cash flow. For the year, we generated $37.4 million in free cash flow and drew on our liquidity to make up the difference. Total liquidity at year-end was $1.8 billion, including cash and short-term investments of $1.0 billion, our undrawn $750 million revolving credit facility in a new undrawn €30 million facility in Germany. We have approximately $350 million of cash on hand in the U.S., which includes amounts to be used for the Newport transaction. Turning now to slide nine for our guidance. For the first quarter of 2024, revenues are expected to be in the range of $735 million plus or minus $20 million. Gross profit margin is expected to be in the range of 24% plus or minus 50 basis points. SG&A expenses are expected to be $130 million plus or minus $2 million for the quarter and $528 million plus or minus $5 million for the full year at current exchange rates. For 2024, we expect a normalized effective tax rate of approximately 31%. Finally, we remain committed to distributing at least 70% of our free cash flow to shareholders in the form of dividends and stock repurchases in accordance with our stockholder return policy. For 2024, we expect to return at least $100 million. I will now turn the call back to Joel.
Joel Smejkal: Thank you, Lori. Let’s turn to slide 10 for a fourth quarter update on our key near-term initiatives. During the quarter, we continued staging of our multiyear plan to expand capacity to support our highest growth and highest return product line, drive higher revenue growth, expand margins and optimize returns, and ensure Vishay is ready to capitalize on the megatrends in e-mobility, sustainability and connectivity. We invested $329.4 million in capital investments during the year, less than the $385 million we had planned at the beginning of the year due to delays in delivering and installing equipment. During the fourth quarter, we stayed on schedule with our expansion projects, including fabs located in Itzehoe, Taipei and Turin, to meet the growing long-term demand for our automotive and industrial customers. We expect to complete qualification of diodes at our 8-inch plants in Taipei and Turin, and deliver first shipments this year. At our new facilities in Mexico, which opened last quarter, we continued qualification at Juárez facility that is dedicated to increasing output of power metal strip resistors, we shipped commercial products and began qualification of automotive grade products. At our La Laguna campus, where we are initially focusing on mass production of power inductors, we advanced qualification of commercial products, and since the beginning of 2024, we have started to qualify automotive grade products. To increase MOSFET capacity, we continue to construct a 12-inch fab in Itzehoe. We are qualification -- we are in qualification of SK keyfoundry for commercial MOSFETs and still expect to be ready for shipment in the second half of 2024. As a reminder, SK keyfoundries is also an automotive-certified foundry. We announced the acquisition of the Newport wafer fab located in South Wales last November. We still expect to close this transaction in the first quarter of this year, pending approval by the U.K. Government. As I mentioned last quarter, we plan to make Newport, the home for Max Power to develop and scale our silicon carbide capabilities and for GaN technology development. During the fourth quarter, we released our 1,200-volt silicon carbide planner MOSFETs as planned. To support high volume sampling and production, we are installing additional burn-in and test equipment in our Kaohsiung facility. We are planning to have the silicon carbide package types for three different resistance and current capabilities available during the first half of 2024. In parallel, we continue the -- advance the development of the 1,200-volt dual trench technology, the 1,700-volt planner technology and the 650-volt planner technology. Due to long lead times at foundries, we currently expect to have samples available in the second half of 2024. We also continue to advance our subcontractor initiative. As a reminder, we began this initiative early in the year in order to create incremental capacity for our high growth and high return products by outsourcing some commodity products. During the quarter, we qualified 14 different product families of inductors, bringing an additional capacity to support a widening of our portfolio. Turning to our strategy to enhance channel management and focusing on maximizing the profitability of each channel, we continue to work on expanding participation with our distributors and creating POS demand. Each of our business units is now actively engaged with distributors to identify a broader part number mix by technology. As an example, we learned we weren’t positioned well in the A and B movers for diodes. In the Americas, we added 7,749 SKUs during the year across our largest distributors. As a result, these distributors saw an increase in their customer count by 214. In Asia, we added 543 part numbers with one distributor for automotive application. Finally, we continue to develop our Vishay Solutions, leveraging our broad portfolio of discrete semiconductors and passives by building automotive reference designs for engineers to evaluate. We now have a high-voltage intelligent battery sensor and a 48-volt eFuse circuit breaker available for testing. Customers are sampling products mainly for onboard charger applications. We are also releasing a bidirectional 48-volt, 12-volt DC-to-DC converter, which will now take place in Q1. Let’s turn to slide 11 for a recap of the goals we set for 2023 a year ago. We have added incremental capacity both internally and externally to support the faster growth and highest margin key product lines. The incremental capacity we invested in last year started to come online this year and will continue to come online through 2024. For 2023, we increased capacity by 13%. We are developing our silicon carbide capabilities through the addition of Max Power and Newport. We are creating a new Vishay throughout the organization to put the customer first and to bring a business-minded focus to everything we do. At the same time, we are maintaining our operational disciplines, controlling cost to protect margins, while building in the ability to accelerate quickly as demand shifts up. We are preparing the company to be ready to take full advantage of the megatrends. And our customers, the OEMs, distributors and EMS are paying close attention to us. They see what we are doing and they are telling us they want more from Vishay, more meetings, more technology roadmap planning, earlier access to their design engineers, more product SKUs on the shelf and our commitment to scale capacity. As an example, last December, Vishay was selected as one of only five suppliers given preferred access to support design programs at a key EMS. While fourth quarter calls are typically when you hear about goals and initiatives for the next fiscal year, I am going to hold off on a detailed discussion about 2024 until our Investor Day, which we have scheduled to take place at the New York Stock Exchange on April 2nd. In 2024, we intend to build on the foundation that we laid in 2023. We plan to continue to invest in incremental capacity and have budgeted $450 million for 2024, including the roughly $56 million in projects that were pushed from 2023 into 2024 as we advance towards our goal of investing a total of about US$1.2 billion over three years, excluding Newport. At our Investor Day, we will share our capacity expansion plan, our view is on the evolution of our manufacturing footprint, including Newport, our silicon carbide strategy and five-year financial targets and paths to reaching revenue and margin goals. We look forward to seeing everyone there. With that, we will open the call to your questions. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first question will come from the line of Ruplu Bhattacharya with Bank of America.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. Joel, with respect to your discussions with the distributors, I know that you have increased the number of SKUs that the distributors are now holding. How long do you think that will last? Are you still going to continue to do that over the next couple of quarters and at what point do you think that will be sufficient? And have you seen any meaningful share shifts, I mean, have you gained any traction in any region from distributors? What are they giving you in terms of feedback in terms of the product lines that are selling when that are more in demand? And can you weave into the discussion, we talked about the inventory correction happening in the channel, what are your thoughts in terms of how long that will last in fiscal 2024?
Joel Smejkal: Okay. Hi, Ruplu. Thanks for the question. The distributors, we have 16 business units in Vishay and we are probably about a third have had very active meetings. All of our divisions, the business units have scheduled meetings and we have got to cover multiple regions. So this is about the leadership of the division head and the product marketing leader, visiting the distributors in the Americas, in Europe and in Asia. So we are not quite at the midpoint of these business units, having the face-to-face meetings. There is preliminary discussion happening about part numbers where when we go into these meetings, we are actively identifying and speaking about our capabilities with capacity and lead time to support. So I’d say, overall, we are about a third pushing to a half. This is going to continue at least through the first half of this year. It may go into the third quarter as well. The feedback we are getting. Feedback has been really good. Vishay is showing that we have the capacity available to broaden our support to the distributors. We played a narrow role in the part numbers that we are finding in a number of these technologies, a narrow role in the participation. The one comment I made about the Americas, we have reached -- achieved 214 new customers based on those 7,700 part numbers that were placed at key distributors in 2023. So that’s good feedback. Customers are buying Vishay that didn’t buy Vishay and then once we learn about these customers, we approach them to offer broader technologies. We have got 16 different technologies. If they are buying one, we want to make sure they are buying multiples. So the feedback has been good. The inventory correction you talk about. We have meetings with the OEMs. We have meetings with EMS. We have meetings with our distributors. So the chain, there’s inventory at each one of those steps. The correction that we hear most say by the end of Q2, but it depends on the products. Some products are still in high demand or lack of inventory. We did not stuff the channel. We did not stuff the OEM with inventory. We were quite flexible. We didn’t enforce NCNR. We didn’t take that strategy and the meetings we are having with OEMs, they are quite happy with how Vishay allowed the OEM to be flexible last year, adjust their demand. Cancellations were high in Q3, some cancellations in Q4, but the OEMs are giving us signals that they intend to grow this year and they want to position Vishay for greater growth because of how we treated them in 2023 and the inventory that we have there is not as high as some of our peers. So this is the work we have cut out for us. So it’s a bit of a long answer, but I will say by the end of Q2 is what we are targeting for inventory correction.
Ruplu Bhattacharya: Okay. Thanks for all the details there. Can I ask you on the Opto gross margin? It looks like it was down to 12% this quarter, was there any one-time items that happened there? Can you just give us your thoughts on how that the Opto gross margin should trend from here?
Lori Lipcaman: Hello, Ruplu. This is Lori. So, yes, there was a one-time item. We had started setting up a new silicon fab in our Heilbronn location for the Opto division. Now that we plan to close on the Newport deal, we discontinued that and we had to take a write-off on some of the work that had already been achieved up to that point, that will repeat in Q2.
Ruplu Bhattacharya: Okay. Got it.
Joel Smejkal: Ruplu, the Newport Fab is allowing us to -- we talk about a campus. We talk about having this fab -- silicon fab, the ability to support MOSFETs, diodes, as well as the Opto product, plus will bring in some of the thin-film resistor front end. This is a new approach for us. So we had to close the project that was initially starting in Heilbronn and that’s the write-off that Lori was talking about. We will be more efficient and be able to reduce cost overall not having duplicate fixed cost, because we will be able to put most of this into a single front-end campus in Newport.
Ruplu Bhattacharya: Okay. Got it. And for the last one, if I can ask, can you just remind us on your capital allocation priorities? Joel, in terms of M&A, do you see any potential for either on the semiconductor side or on the passive side. Are there -- I know you talked about some areas where you are trying to improve your capabilities, but any thoughts on M&A? And Lori, on the capital return in terms of share buybacks, how should we think about the pace of that versus any delevering? Thank you so much.
Joel Smejkal: Lori, do you want to comment first about the capital allocation?
Lori Lipcaman: So we still remain firmly committed to returning our free cash flow -- 70% of our free cash flow to shareholders and a minimum of $100 million for this year. So we don’t make any changes in that. We feel very strongly, that’s an important part of our capital allocation strategy.
Joel Smejkal: Ruplu, regarding M&A, we continue to look and we have some targets, circuit protection is one, this would be an addition to Vishay’s portfolio. We always look to broaden our portfolio. So circuit protection is one. We also look at verticals, verticals that help us with specialty materials, that would help to advance our technology. And then we look at expansions of suppliers that are in the same businesses us, possibly better positioned in a region as we see customers speak about regionalization. We find that as also an important element, that we look at where Vishay is manufacturing today, do we expand in a particular region or can we make an acquisition that positions us quickly in that region? Those are the approaches we are taking today.
Ruplu Bhattacharya: Okay. Thanks for all the detail. Appreciate it.
Joel Smejkal: All right. Thanks for the questions.
Operator: Thank you. Our next question will come from the line of Matt Sheerin with Stifel.
Matt Sheerin: Yeah. Thank you. Good morning, everyone. My first question just regarding your guidance for Q1. In terms of the -- you are guiding around 6%, 7% sequential decline in revenue. Is that primarily the distribution destocking or is that your OEM customers as well?
Joel Smejkal: Primarily the distributor destocking. As we have met with the OEMs, the OEMs talk about, if it’s industrial OEMs, they talk about single-digit growth in 2024. The automotives were even greater growth. They were talking about 10% plus in demand of components, that isn’t necessarily car count as we know, there’s a lot of electronic content going in. So those two segments are the largest segments we have. Aerospace/Defense will continue to grow, medical as well. We see that. So those four segments representing 80%-plus of Vishay. From there, outward shipment of their product, they see growth. It’s the steps in between. So it is the distributor digestion of inventory and some at EMS.
Matt Sheerin: Okay. Thank you. And then just backing into the EPS and operating margin based on your guidance, it looks like operating margin is going to take out around 6.5%, which is below the last trough back in late 2019 you were just over that. So, obviously, a huge step down year-over-year. So how should we think about operating margins as we go through the year, is this the trough here?
Lori Lipcaman: I’d like to say, yes, as a matter of fact, the margins are reducing to the approximately 6% we have put into place, we are going to have a lower gross margin of approximately 24% and then we have some relatively high SG&A expenses due to inflation, wage increases and our long-term incentive programs that are very -- that are putting some pressure on to the gross or the operating margin. But as revenues would pick up in the coming years, I would say, this is a potential for the trough, yes, it is trough.
Matt Sheerin: Yeah. Yeah. And actually, just on OpEx, you are basically guiding for 8% SG&A growth this year and revenue should be down at least mid-to-high single digits for the year. So why not take some cost cutting actions here?
Joel Smejkal: We are looking at cost cutting. It is a topic of daily and weekly discussion across the company. Looking at fixed cost, moving to manufacturing that we have in low cost countries, the volumes are down. We are using government funded short time work program. There’s a number of things that we are working on, on the top in the variable cost to reduce. The SG&A cost is also being looked at. It’s very important that we continue to be in pace with our customer, the technical staff that we have invested in, the customer is aligning us in a different way than in the past. So we do look at cost. This is the forecast we put in for the quarter. We are staying close to the market. It is -- if we see Q2 guidance being different, we are going to have to make those appropriate adjustments. We have to manage the business as we see it, but it is a very important topic to protect our margins.
Matt Sheerin: Okay. Thank you.
Operator: [Operator Instructions] Our next question will come from the line of Joshua Buchalter with TD Cowen.
Joshua Buchalter: Hey, guys. Thank you for taking my question. I wanted to ask a sort of a bit of a bigger picture one. So as you are -- you have been very clear about that you are trying to rebuild the channel. It’s coming at a time when the channel big picture is trying to get its inventory levels down. I guess, has that dynamic of you leaning in as the channel wants needs to get things rightsized made your transition go faster or slower I guess? Is that an opportunity as your peers start to lean out of the channel to move more quickly or does sort of their -- the business activity and changes sort of seize up because of the correction? Thank you.
Joel Smejkal: I would say it’s a little slower is the pace, because when you look at -- when we have a discussion with the distributor, they speak about their total umbrella of inventory. They are umbrella of inventories all suppliers. They understand where Vishay wants to go. They are investing in these SKUs. They are conscious of their requirements every quarter to their shareholders and as they report their earnings. But we are making progress, as we have shown with the number of part numbers we are adding and the feedback that we get from customers that they are finding the product. We continue this. It’s an important element of our initiative. We would like it to move faster. We really point to 2024 as a POS year, which requires Vishay to be out front with the distributor at the customer to make sure we are realizing a greater rate of POS growth, which then facilitates the continued addition and replenishment of this inventory.
Joshua Buchalter: I appreciate all the color there. And then in the prepared remarks, you mentioned the low single-digit ASP declines, but also confidence in your ability to offset them with cost improvements. Maybe you could spend some time talking about the near-term steps that you are undergoing with your manufacturing footprint, and how much of this is also, I guess, inflationary pressures and input costs easing as a tailwind, or again, is it mainly the self-help levers that you have been outlining for a year plus now? Thank you.
Joel Smejkal: Okay. Cost reduction initiatives are required and important with each of the divisions as we go into each calendar year. So efficiencies, cost reductions of materials landing in lower cost manufacturing sites like Mexico, those additions that we spoke about. Having some of our commodity products being supported by subcontractors also provides us some cost benefits here. We have a number of levers we pull. The inflationary items, the inflationary items for the most part, seem to be leveling other than wage inflation, but materials, logistics, those items are fairly flat. Logistics has declined somewhat. So I think it’s the initiatives of our Vishay operations team with efficiencies, material reductions, improvements in the processes, which is going to help us offset this, as well as those low-cost sites.
Joshua Buchalter: Thanks, Joel.
Joel Smejkal: All right. Thanks, Josh.
Operator: That concludes today’s question-and-answer session. I’d like to turn the call back to Joel Smejkal for closing remarks.
Joel Smejkal: All right. Thank you again everyone for joining us today for the review of our fourth quarter results. As a reminder, we are holding an Investor Day, our first ever, on April 2nd at the New York Stock Exchange. We look forward to seeing you there. Thank you very much. Have a good day.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.